Operator: Good day, ladies and gentlemen, and welcome to the Harris & Harris Group Third Quarter 2013 Shareholder Update Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Patty Egan, CFO. Please go ahead.
Patricia N. Egan: Good morning, everyone. I'll begin by reading the Safe Harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company's annual report on Form 10-K as well as subsequent filings filed with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business, including, but not limited to, the risks and uncertainties associated with venture capital investing and other significant factors that could affect the company's actual results. Except as otherwise required by federal securities laws, Harris & Harris Group, Inc. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I'll now turn the call over to our CEO, Doug Jackson (sic) [Jamison].
Douglas W. Jamison: Thank you. Good morning. This is Doug Jamison. Welcome to our call reporting on the third quarter of 2013. Daniel Wolfe, our President, and I will begin by walking you through some slides that focus on our path forward. Patty Egan, our Chief Accounting Officer, will then provide a brief summary of our September 30, 2013 financials. Patty will be referencing our recently filed quarterly report on Form 10-Q. We will then answer any questions, and we expect the call to last approximately 45 minutes. Realize, invest, partner, return; in a Letter to Shareholders released on September 30, 2013, we described each part of our strategy. In the second quarter Letter to Shareholders, we described "realize" and our increasing ownership in our portfolio companies over the past 5 to 7 years. In a Letter to Shareholders on October 8, 2013, we described "invest" and our focus on BIOLOGY+. All 3 letters can be accessed on our website at www.hhvc.com under Investor Relations. In a letter to be released later this week, we will discuss "return". "Return" refers to returning shareholder value. If we execute on our plan over the next 5 years, we believe we have the potential to grow net asset value per share, or NAV, significantly for our shareholders. This morning, we are going to walk you through some of this 4-part strategy. In future quarters, we are going to move to updating you on each of these sections, so you can measure our progress against our plan for the next set of years. Harris & Harris Group builds transformative companies from disruptive science. One frequent misperception from some shareholders is that we are passive investors following other VC firms. We are not. We build these companies. We are often the first institutional investor. We license technologies. We build initial management teams. We develop business plans. We recruit other VC firms and we recruit strategic partners. We are skilled at identifying new technology trends ahead of the general market, accessing high-quality science and intellectual property, assembling founding teams of entrepreneurs, building management teams and executing on early-stage business opportunities. This is what we have done in companies like SiOnyx, Xradia, Solazyme, Ultora, Enumeral, Senova , ABS, PWA, HzO, EchoPixel and AgBiome. Our time as management is spent building these companies. It's what differentiates us from many other VC firms, and certainly, the new crop of equity BDC firms. Our strategy over the next 5 years has 4 parts: Realize returns to increase shareholder value; invest for growth to increase future shareholder value; partner to more effectively create value; return value to our shareholders. We are realizing returns, most recent is Xradia in the third quarter of 2013. Xradia was sold to Carl Zeiss. We were the first and only institutional financial investor in Xradia. And during our investment, revenue grew approximately 30% per year, and we entered multiple new high-margin markets. Our investment of $4 million returned approximately $12.8 million at closing, and may yield a total of $15.2 million, if all the funds that are held in escrow are received. Our pipeline for future returns is robust. We believe to have -- we expect to have multiple realization events over the next few years, as our portfolio has many mid- and late-stage companies, in addition to the new investments we continue to make in early-stage companies. In aggregate, our 26 equity-focused companies that are shown above, or in the slide, and Solazyme, generated approximately $241 million in revenue as of the end of last year. This was a 26% increase from aggregate revenues in 2011 of approximately $192 million, a 59% increase from aggregate revenues in 2010 of $152 million, and 162% increase from aggregate revenues in 2009 of $92 million. Our portfolio of companies continue to execute. This can be seen through new partnership and acquisitions, new awards that they have received, new products launched, and new milestones reached. We encourage our shareholders and listeners to look on our website for more information on all of these exciting events that occurred during the prior quarter, and for additional events as well. You can also find these on our Facebook page. Our portfolio companies are commercializing products, not that only can be purchased by businesses, but also by consumers. You can go out on normal websites like amazon.com and others, and also the websites of these companies that are commercializing these projects, purchase products that are enabled by technologies from our portfolio companies, including touchscreens on large area displays; LED lightbulbs; the new Kindle tablet that was released earlier this month; batteries that have higher energy density and are longer-lasting for a variety of applications; skincare products; and consumer devices such as cellphones that are resistant to water damage. So in previous conversations and previous shareholders calls, we have focused on some of these companies. D-Wave is a company we have focused on historically, as they make progress, bringing the world's first quantum computer to market, certainly with acquisitions both from Lockheed Martin and from Google and NASA. They have been in the news recently. Flash forward [ph], another company we've focused on historically is Metabolon. This is a company that shareholders should continue to watch as they mature. In addition to a very robust service business, they have launched a diabetes diagnostic test called Quantose through HDL, that is currently one of the most successful launches of a new diagnostic in history with its revenue beginning to climb. Also recently during the third quarter of 2013, they released their second pipeline diagnostic, Prostarix, which tests for aggressive form of prostate cancer. So it's another company we'll continue to highlight and look to. Today, I just want to spend a few minutes on a company called PWA and one of their recent announcements. PWA is a company you haven't heard us speak much about to-date. Historically, we founded a company, ABSMaterials to commercialize a very unique glass material Osorb that separates hydrocarbons or oils from water, and then allows them to be released again in a regenerative process. We helped ABS spin out a company, PWA, Produced Water Absorbents, to commercialize Osorb media for produced water treatment solutions for the oil and gas industry. We help bring other investors into that deal. In the fourth quarter of this year, just recently announced, PWA announced the acquisition of some assets of ProSep, another oilfield water and gas treatment company that now provides PWA with an end-to-end water treatment solution and customer base. So PWA's original technology, Osorb, is used in a last step on near-shore oil rigs, called polishing. ProSep's acquisition allows them the first and second steps in that process, and actually allows them access to the customer base ProSep had. ProSep had revenues of greater than $40 million in 2012. So PWA now has an established revenue stream. It has access to all the customers to sell its solution, it's Osorb solution to; and we now have a company that will do probably north of $30 million to $40 million in revenue in 2014, growing with our ownership in PWA being between 10% and 15%. These are the type of the companies, these are the type of deals that we have been doing. This is very similar to a recent deal that was announced a little while ago that Adesto did, purchasing some assets from Atmel. So this will be an exciting one to watch now as it goes from, really, a technology early-stage company to a much later-stage company, really interacting with the oil and gas companies, bringing their products to market. Another company you'll see us highlight in the future is HzO. HzO is another -- was an early-stage company, it's been very successful coding electronics. It currently has a contract with a very well-known, large, established retail company and the original equipment manufacturer to be able to sell these waterproofed electronics into the wearable electronics market. And I think, in coming quarters, you'll see us focus a lot of our attention and energy on the growth of HzO, where again,, we expect to own between 15% and 20% of the company at exit. Let me turn for a second to growth in average ownership. We believe we have the opportunity to create outsized growth and value over the next 5 years, by realizing gains in our portfolio, because we have spent the past 5 to 7 years increasing our ownership and our control positions in our best portfolio companies. As these companies begin to realize exits, our ownership will be in a high single-digits and in the double digits as compared to our historical ownership, below 5%. We believe this is the greatest trend of unrealized value not being accounted for in the market currently within Harris & Harris Group. Danny, I'm going to turn it over to you to talk a little bit about invest.
Daniel B. Wolfe: Thank you, Doug. Harris & Harris Group will build transformative companies from disruptive science. Our investments will have 2 characteristics: It will be early-stage, where our focus will be on founding, incubating and building transformative companies from disruptive science; and they will be focused on BIOLOGY+. We have always been involved with founding, incubating and building transformative companies from disruptive science. In fact, approximately 2/3 of the companies we have invested in since our founding, we have been the first institutional investor formed in the syndicate of first institutional investors in these companies. There are very few people in very few venture capital firms still in existence that have the expertise to find, incubate and build these types of companies. We have demonstrated that we have the ability to discover, diligence, invest, build and realize gains in transformative companies, built from these emerging areas of science. This is an opportune time to be doing early-stage company building, as valuations and competition are both very low. In 2002, we focused our efforts investing in companies that were enabled at the nanoscale. Many of the disruptive scientific breakthroughs that are the basis for transformative companies we build occur at the nanoscale. This focus permitted Harris & Harris Group to become a leader investing in this emergence space. Recent access in companies such as BioVex, Solazyme, Crystal IS and Xradia attest to our leadership position. Additionally, our interdisciplinary scientific backgrounds led us to identify interesting breakthroughs that were occurring evermore often at the intersection of different scientific disciplines. Two things have become clear to us over the past 5 years. First, many of the most interesting scientific breakthroughs are occurring at the intersection of different scientific disciplines, usually with biology as one of this disciplines. Second, companies that intersect with health care or life sciences are yielding increased venture capital returns. In our own portfolio, companies in the life science sector have outperformed portfolio companies in the electronics and energy sectors, significantly, since 2002. Many of the most interesting scientific breakthroughs are occurring at the intersection of many different scientific disciplines, again, usually with biology as one of those disciplines. Our team, with the scientific backgrounds in chemistry, biochemical engineering, physics, genetics and material science, is uniquely qualified to identify, diligence and invest in the intersection of biology with these other disciplines. We focus on this intersection because we believe interdisciplinary innovation will be required in order to address many of the life sciences challenges of the future. And we have already invested in companies that have teamed innovations in biology with innovations in areas such as electronics, physics, material science, chemistry, information technology, engineering and mathematics. BIOLOGY+ is our distinctive approach to building high-value life science companies. We define our investment focus of BIOLOGY+ as investments in interdisciplinary life science companies where biology innovation is intersecting with innovation in areas such as electronics, physics, material science, chemistry, information technology, engineering and mathematics. We focus on this intersection because we believe interdisciplinary innovation will be required to address these future life science challenges. As I mentioned earlier, we currently plan to focus all of our efforts on building new companies and ones that are enabled by our -- or ones that fit within our BIOLOGY+ thesis. We believe areas such as personalized genomics, novel therapeutics for cancer and 3D noninvasive imaging and diagnostics, as well as applications in the agriculture, industrial biotechnology, water, functional foods and personal health will all be influenced by innovation in BIOLOGY+. As this slide demonstrates, we've already invested in companies that have teamed innovations in biology with innovations in other disciplines. In the case Enumeral, this combination enables the ability to interrogate cells at the single cell level in unique ways to answer the questions that cannot be answered in other ways for the first time. In the case of Molecular Imprints, the combination enables personalized genomics by using a new form of semiconductor lithography to perform genomic sequencing using silicon wafers. This capability increases the speed and reduces the cost of large-scale sequencing. In the case of D-Wave, their quantum computer can be used to solve very complex protein folding problems that cannot be solved or are very difficult to solve using other traditional computing systems to enable the discovery of new therapeutics and therapeutic approaches. We will now turn to our partnering strategy. Harris & Harris Group brings technology platforms and expertise in the company building. Our goal is to bring in early partners, because we believe that it's exceptionally beneficial to bring in their expertise and scale of manufacturing and market access as we build these corporations. We believe the skill sets of Harris & Harris Group and corporate partners are highly complementary and can lead to beneficial results for our investments. We can accomplish this partnering strategy down 2 different paths. First, we are focused on strategically partnering corporations to manage their capital besides ours. In addition to close relationship and true partnership, in addition to having more capital to invest for a deal, we will benefit by managing third-party capital. Second, sometimes the partners invest directly into the new company. Syndicated financial investors, besides key strategic corporations from the very first round of capital, is becoming evermore common in our investments.
Douglas W. Jamison: Thank you, Daniel. So finally, let's turn to return. We believe that over the next few years, as we continue to execute on the plan presented today, that we will generate meaningful returns for our shareholders. We are focused on increasing value to shareholders. And in addition to growing net asset value per share, we believe we will have the opportunity to reduce the number of shares outstanding and to provide deemed dividends as well as cash dividends, as we execute on this plan. In summary, we think now is the time to invest in Harris & Harris Group. We now have significant stakes in companies, bringing transformative products to market, and that value is not yet reflected in our portfolio. Our interdisciplinary team is well-positioned to execute on our investment strategy in BIOLOGY+, which is where biology intersects with other scientific disciplines to enable life science breakthroughs and we have the resources we need to execute. Patty, I'm going to turn it over to you to talk to the financials.
Patricia N. Egan: Thank you, Doug. At September 30, 2013, we had total assets of approximately $133.1 million on our balance sheet. Included in our total assets is our venture capital portfolio, which was valued at $94.4 million versus its cost basis of $109.5 million at September 30, 2013. Therefore, at September 30, our venture capital portfolio was in a depreciated state of $15.1 million. We also held $36.3 million in cash and receivables from the sale of the U.S. Treasuries, and had no debt outstanding as of September 30. At September 30, our primary and secondary liquidity was $44.8 million. This includes the proceeds of $12.8 million from the sale of Xradia that were received during the third quarter. Our net assets at September 30, 2013, were approximately $130.2 million, and our net asset value per share was $4.18. This is an increase from our net asset value per share of $4.13 at December 31, 2012. Turning to our income statement. For the 9 months ended September 30, 2013, we had investment income of approximately $510,000. This compares with approximately $529,000 in investment income in the same period during 2012. Our total expenses were approximately $6.3 million for the 9 months ended September 30, 2013, compared with approximately $7.2 million during the same period in 2012. These total expense figures include both cash and noncash-based operating expenses, such as stock-based compensation. Stock-based compensation expense has no impact to our NAV. Our total cash base and accrued operating expenses for the 9 months ended September 30, 2013, were approximately $5.4 million as compared with $4.7 million during the comparable period in 2012. This yielded a net operating loss of $5.8 million through September 30, which is a decrease compared to our net operating loss of $6.8 million for the 9 months ended September 30, 2012. I'll now turn the call back over to Doug.
Douglas W. Jamison: Great. Thank you, Patty. So before opening it to questions, I just want to focus on one other area; this is our investor outreach goals. As you can see, and as the letters demonstrate, I think, Harris & Harris Group has a very good strategy for realizing returns over the coming years, certainly, for investing its capital in what we think is an exciting area at the intersection of biology with these other disciplines and what we call BIOLOGY+. We are now -- we have been reaching out to investors. We continue to reach out to investors. We really have over the next set of years, really, 2 big goals. One, we want to increase our institutional ownership at Harris & Harris Group. We're looking for very long-term, nontraditional institutions that invest in micro-cap stocks. These are institutions that have a similar timeline to us where they would invest over a period of 5 to 15 years and look for that growth, very different from many of the hedge funds that invest in much shorter periods outgoing. We don't think this will be a quick process. We think this will be a process whereby we meet with them, they understand our plan, they watch our execution against that plan, and over time, we build their confidence and they invest in Harris & Harris Group; but again, where their goals and their timelines are similar to our goals and timelines, as institutions. Secondly, we're always looking to increase analyst coverage, bringing in smart individuals that can tell the story of Harris & Harris Group, present it to other investors, and we continue to work on that, interesting them in that overlap with BIOLOGY+. So it's an ongoing process that we are focused on and continue to focus on in the future. So with that, I'd like to open it up to any questions that shareholders may have.
Operator: [Operator Instructions] And our first question comes from Ed Woo from Ascendiant Capital.
Edward M. Woo - Ascendiant Capital Markets LLC, Research Division: I had a question on what your view is on what your view is on the overall market for these, I guess, emerging growth BIOLOGY+ companies. Have you seen any change in valuations or any difficulties in being able to find these new investment opportunities?
Douglas W. Jamison: Ed, this is Doug Jamison. I think, let me talk about those on a couple of levels in front. From an early-stage perspective, there are a dearth of venture capital firms out there investing in this area currently. So I think there are plenty of deals. There are few investors, but again, as you know, we syndicate deals. So there needs to be a combination of both deals and investors to be able to put these together. There are still some great firms, and I think there will be, in the coming years, more firms moving into early-stage venture capital again, right? It's a cycle of sort of nadirs and pinnacles. We've hit the nadir. I think people, looking into the future, will be getting back into this field. I think that will benefit us by being active currently. So there is certainly no dearth of deal flow. It's sometimes difficult to put syndicates together because there are just so few investors left looking at these type of deals. And again, if you take a longer-term perspective, that will flip, right? That's where the opportunity will be. The investors will come right back into it. The valuations will move up. And then it'll become problematic to invest at that period of time, but it'll become a very good time to exit and realize value, right? So that's the one part of it. From a BIOLOGY+ standpoint, I think that the market is probably -- the public market's at probably at one of the more robust points it's been recently, right? The biotech sector, certainly the therapeutic sector, but I'd even say some of the molecular diagnostic companies are receiving very good valuations in the public market. So where we would realize value, they are receiving that currently as investors have gone looking for risk. I have no idea how long that will last in the public markets. But certainly, over the past 6 to 12 months, and even continuing through this current time, we're seeing that value. So I think there is always 2 ends of the market, and we're seeing that. The difference of what we do oftentimes is, is we build these BIOLOGY+ platform companies. And so the outcome of those is not necessarily therapeutic. It's not necessarily diagnostics. Sometimes, like in the case of Metabolon, we can build a very nice service business. We can build a company that stands on its own that has control over its own future, and it can use its own cash flow to fund things like the developments of its diagnostics. And when we do that well, we have a very nice intersection where we can build a high-quality company and make a very good investment return. So again, if I look back historically, when we do that well, Xradia was a good example of that, we had a very nice return. Solazyme was a very good example, we had a very nice return. On the flip side, in a company like Innovalight or NeoPhotonics, we actually built a very good company, but it wasn't a very good investment return to us or our shareholders. And so we actually think we're in a very unique period of time in BIOLOGY+, now, to be investing very inexpensively, getting the ownership and control we need of these companies and yet have a more robust market on the back end that we think will continue and will develop over different cycles to be able to sell those companies or IPO those companies at increased valuations from where we stand. Does that answer your question?
Edward M. Woo - Ascendiant Capital Markets LLC, Research Division: Yes, great.
Operator: [Operator Instructions] And our next question comes from Sam Rebotsky from SER Asset Management.
Sam Rebotsky: As far as PWA, I guess, your carrying value as of September 30 was $898,000 versus investment of 16 -- $1,648,000, and the acquisition that was taken out of bankruptcy, I think, was about an $8 million investment. I don't have the number in front of me. And you said you expect to own 10% to 15%. Did you -- which means that you may put $1 million to $2 million -- what did you put into this? And did you not want to own more than 15% in this venture?
Douglas W. Jamison: So good question. Your math is accurate in looking at that, as far as what we invested into it. I'll answer the last question first, which is opportunity to invest more. We're happy with the ownership we have in the company. We actually stepped up our ownership in doing this. We didn't really have much of an opportunity to pick up anything more. There is another very large investor beside us, Energy Ventures, who is probably the top firm in the world for doing these type of venture investments, and they were very interested in maintaining and increasing their pro rata as well. So we picked up a level we felt comfortable with. I don't think there was much of an opportunity to pick up more than that. But this is the type of company where we're really looking to do that, so to take shareholders back a step, right? I mean, the first thing you all have seen is that we wrote down the valuation of PWA over the last year, right, so we wrote down the value of PWA. And actually, for the same invested dollars, we were able to pick up more ownership in the company. Then we did this transaction where we bought -- again, it'll vary. We didn't buy all of the assets of PWA, so we won't buy all of the revenue -- I'm sorry, of ProSep, so we won't have bought all of the revenue of ProSep. Some of that business is being shut down. But where we bought $30 million to $40 million in revenue from ProSep for $3 million in equity and $6 million in debt, which is a public number, so a very good transaction. And we did that with invested capital at that lower valuation. So now we believe that PWA is going to be a company in 2014 that, potentially, if they execute on their business, could do north of $30 million in revenue; will have introduced Osorb to the market, which is another revenue stream for them; and the company will be sitting at the same low valuation we did this previously, which we think has a great opportunity to yield us a much higher investment return in the future. We believe that, with this transaction of working capital we have, there'll probably be one more round of capital that goes into PWA. It will probably be expanded to bring other investors into it, but that will be it. And then it'll be probably -- when we look at this transaction our thought process would be, we probably sped up the time to commercialization 2 to 3 years, which means we sped up the time to exit for us 2 to 3 years, which is also a metric of our return function.
Sam Rebotsky: Okay, that makes sense. And as far as you indicated you have a new partner where your potential to borrow money and, possibly, they may come into deals with you. Formerly, you had this Russian relationship that you had hoped to do something and you spent about 2 years and nothing came of it. Could you indicate whether you will be getting this new relationship that you have the potential to borrow, do you expect a deal with them soon? What's your thought process when something may happen and that would -- and how would this benefit you? Other than coming into your deal, how would you earn something, et cetera?
Douglas W. Jamison: So first of all, I would think of them very separately, right. So the relationship we have with ORIX and the credit facility is not really -- I would not consider it part of our partner strategy. Although one of the reasons we did the credit facility with ORIX is because they are both equity investors and venture debt providers in portfolio companies, and they could be investors in our portfolio company, and they clearly have an interest in some of what our portfolio companies are doing, and have actually, even since the time of the relationship, looked at some of them. So we think there are synergies, but very different from our partnership strategy. ORIX is a classic credit facility. What we did was -- it's a credit facility unlike the banks will give you now. The banks don't give us credit. They take our cash and they give us cash. And we just store our cash with them, and they give us a little cash, which is not a credit facility or a loan by any measure. It's backed up 100% by your own cash asset. This is a classic credit facility. It allows us to borrow over a period of time, multiple times from this facility. It allows us to bolster our balance sheet. It allows us to be aggressive when we want to be aggressive in some of our best firms in doing this, while preserving cash on our balance sheet, if we so choose to use it. So I think of it as a defensive posture. I think of it as a way to -- you're always hoping for the best, but planning for the worst. To date, we have not drawn anything from that credit facility, so we have no debt outstanding. But again, in the future, it provides us the opportunity to do things where we think we could increase our invested return. One of the problems we've always talked about at Harris & Harris Group is that we get in these companies earlier, but as companies like Solazyme went and raised large rounds of capital -- or to your earlier question, PWA, why didn't we invest more; it's because we haven't had the balance sheet to really be able to, sometimes, keep up our investment or be aggressive in these larger later rounds. And so this is a vehicle that potentially, if we so choose to use it for that purpose, allows us to be able to take advantage where we might not feel so comfortable doing that with purely the cash on our balance sheet, and without the visibility that we often don't have to exact timelines for our exits. So very different from our partnering strategy. I hope that's clear.
Sam Rebotsky: Okay. Now, one additional question as far as an exit strategy or -- are there any of your companies that expect to file an IPO in the next year or other type of transactions that you may make a minor profit or a more significant profit? What kind of capital events that you might have -- that might happen within the next year from now going forward?
Douglas W. Jamison: I'll start that and I'll hand it over to Daniel. First of all, I mean, you have to realize that -- 2 things: one, we probably know more than we are able to share at this point in time, and so I just want that clear; two, we don't always know. I mean, even when a company is looking at an IPO process a lot can change in that market, so I don't want to sound more prescient than we can be. Having said that, we try to disclose to shareholders as much as we can disclose to give them some of those indications. And so I'm going to let Daniel talk to that. And secondly, there is a reason we talk about the portfolio companies we talk about. I don't randomly pick them at the end of each quarter, right. There is a reason we talk about D-Wave, Metabolon, SiOnyx, Adesto, PWA and HzO, right. These are companies that can really influence the future of Harris & Harris Group, both from a cash position and from a value perspective, from an NAV perspective as well, and where they're far enough along that they're not like some of the early-stage companies where from quarter-to-quarter we don't know how they will progress. So Daniel, let me turn it over to you to say what we've said publicly.
Daniel B. Wolfe: Yes. So on Page 63 of our Q, in the Management's Discussion and Analysis section, there is a statement in there that talks about how our companies are often in the process of pursuing potential sales and IPOs. We consider these to be ordinary course of business. And we really only highlight ones where they become tangible through events such as the receipt of letters of intent to acquire a company or drafting of registration documents. We do highlight 2 companies below that paragraph where we talk about Ancora that sold a substantial portion of its assets, including the use of its corporate name to CordenPharma International of the U.S. And then also, we talk about the fact that another one of our portfolio companies and a potential acquirer began drafting definitive documents for potential acquisition. We currently estimate that the second transaction could close during the fourth quarter of 2013 or the first quarter of 2014. However, there can be no assurance that this company will be able to consummate such transaction within this time or, if at all, and we're not at liberty to be able to discuss any financial details of the transaction as well.
Douglas W. Jamison: Yes, so just to set expectations on that, I don't think, when looking at those -- Sam, these are not -- so what we said publicly, these are not the companies that one would expect to be transformative return potentials for Harris & Harris Group. But again, we always try to state what is happening with some of those companies. And clearly, they are transactions that will bring back cash to Harris & Harris Group, and potentially, returns as well. Again, I would -- I highlight, and have been highlighting in our "realize" section that companies like D-Wave, Metabolon, SiOnyx, Adesto, HzO, PWA, some companies are coming into that as they continue to grow as well. But as an investor in Harris & Harris Group, those are the companies I would be watching very closely, as they mature looking to do -- see what they're going to do for excess as that becomes publicly available. Because those are the type of companies we have the ownership and where their businesses are really progressing, where there is a potential for -- to investment return and that can drive NAV for the future of Harris & Harris Group.
Operator: And I'm not showing any further questions at this time. I would now like to turn the call back to Doug Jamison for any further remarks.
Douglas W. Jamison: Great. Thank you very much for everybody that listened in today. We very much appreciate your support of Harris & Harris Group. We believe that the steps we are taking, some of the steps we outlined today, are the steps needed to make this company successful for shareholders. Again, thank you for your support. And we look forward to talking to you throughout the quarter. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.